Operator: Welcome to the to the CrossAmerica Partners Third Quarter Earnings Call. My name is Richard and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Maura Topper. You may begin.
Maura Topper : Thank you, operator. Good morning, and thank you for joining the CrossAmerica Partners third quarter 2022 earnings call. With me today is Charles Nifong, CEO and President. Charles will provide some opening comments, a brief overview of CrossAmerica's operational performance and highlights from the quarter, and then I will discuss the financial results. At the end, we will open up the call to questions. I should point out that today's call will follow some presentation slides that we will utilize during this morning's event. These slides are available as part of the webcast and are posted on the CrossAmerica website. Before we begin, I would like to remind everyone that today's call, including the question-and-answer session, may include forward-looking statements regarding expected revenue, future plans, future operational metrics and opportunities and expectations of the organization. There can be no assurance that management's expectations, beliefs and projections will be achieved or that actual results will not differ from expectations. Please see CrossAmerica's filings with the Securities and Exchange Commission, including annual reports on Form 10-K and quarterly reports on Form 10-Q for a discussion of important factors that could affect our actual results. Forward-looking statements represent the judgment of CrossAmerica's management as of today's date, and the organization disclaims any intent or obligation to update any forward-looking statements. During today's call, we may also provide certain performance measures that do not conform to U.S. generally accepted accounting principles or GAAP. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press release. Today's call is being webcast, and a recording of this conference call will be available on the CrossAmerica website for a period of 60 days. With that, I will now turn the call over to Charles.
Charles Nifong : Thank you, Maura. Maura and I appreciate everyone joining us this morning on election day. There's a lot going on today. So we thank you for making the time in your schedule to be with us this morning. During today's call, I will briefly go through some of the operating highlights for the third quarter. I'll also provide some color in the market and a few other updates similar to what I provided on previous calls. Maura will then review in more detail the financial results. Now if you turn to slide 4, I will briefly review some of our operating results. For the third quarter of 2022, our wholesale fuel gross profit increased 24% to $42.2 million, compared to $34.1 million in the third quarter of 2021. This growth was driven by an increase in fuel margin. Wholesale segment gross profit was $56.8 million, an increase of 18% or $8.6 million when compared to the third quarter of 2021. Our wholesale fuel volume was 338 million gallons for the third quarter 2022, a decline of 5% when compared to the same period in 2021 largely due to lower volume in our base business partially offset by the acquisition of assets from 711, which occurred primarily during the third quarter of 2021. Nationally, it was another challenging quarter for fuel volume. Based on Energy Information Administration data, gasoline demand was down nationally approximately 6% for the quarter. On a same store basis our wholesale volume declined approximately 8% for the quarter. If we look at recent weeks, over the last four weeks of data, our same store volumes down approximately 4% to 5% relative to the prior year. National demand based on EIA data for approximately the same time period continued to remain down about 6% relative to the prior year. So in our portfolio, we have seen some relative volume performance improvement during the course of the quarter in recent weeks. But volume is still down relative to the prior year. A big driver of the fuel on decline for the quarter relative to the prior year was obviously fuel price related. We began the quarter with national average weekly retail fuel prices approximately 55% above the price level in the prior year. Average weekly retail fuel prices declined nationally for 12 consecutive weeks to start the quarter. National weekly average retail fuel prices finished the quarter at approximately 15% to 20% above the prior weekly average retail fuel price. By the high fuel price environment was detrimental to our volume for the quarter. The declining fuel pricing environment for essentially the entire quarter strongly aided our fuel margins. As we have discussed on prior calls, margins tend to be stronger and declining fuel price environments. One significant reason for this is in a declining fuel price environment. lower volume sites are slower to adjust retail fuel street prices down due to having higher price product and inventory. This tends to make overall retail fuel street pricing slower to adjust downward. And for competitors with higher volume sites that are turning their fuel inventory quickly it generates enhanced margins. Our results this quarter reflect this dynamic and the overall favorable fuel margin environment for the quarter. We saw an increase in our wholesale fuel margin per gallon for the quarter reporting $12.5 per gallon compared to $9.6 per gallon for the third quarter of 2021 an increase of 30%. As we just discussed, this increase was driven by the favorable fuel price environment for the quarter. I think it is also worthwhile to note that the declining fuel price environment for the quarter was the reversal of the rising fuel price environment experienced earlier in the year. The decline of fuel prices wholesale and retail experienced in the quarter return fuel prices back to the price levels of the January and February timeframe of this year. With that perspective, the results from this quarter can be viewed as that financial return on that challenging period earlier in the year. Our fuel margin also benefited this quarter from having higher fuel volume and the associated higher fuel margin to our company operated retail sites as a result of the increased in company operated retail sites due to our acquisition completed during the third quarter last year. Additionally, our margin results continued to benefit from better sourcing costs due to our brand consolidation and other initiatives. On our wholesale rent, our base rent for the quarter was $13.8 million compared to the prior year $13.7 million, a slight increase due to the renewal of certain dealer contracts and the reopening of certain previously closed sites. As we mentioned last quarter, our rental income is an incredibly steady and durable income stream for us that continues to perform quarter-after-quarter. Our retail segment also performed well during the quarter as gross profit increased 102% or $28.5 million when compared to the third quarter of 2021. Our motor fuel gross profit increased $22.5 million and our merchandise gross profit increased $5.1 million when compared to the same period in 2021. For volume on the same store basis, our retail volume declined approximately 7% for the quarter year-over-year. As I touched on in my earlier comments, higher fuel price environment for the quarter contributed to the year-over-year volume decline. Retail segment same store volume although down was better than our overall wholesale segment same store volume. In our company operated retail stores weekly same store declines relative to the prior year moderated during the course of the quarter after being down over 10% in early July. The retail segment increased motor fuel gross profit was a result of the favorable retail fuel pricing environment for the quarter as our retail sites tend to be higher volume sites that benefit the pricing dynamics that I reviewed earlier in my comments. And recently extensive quarter end our company operated retail same store volume has been approximately 3% to 4% lower in the same period in the prior year. For the same period, retail fuel margins have been more mixed, as fuel costs have generally risen in the period since the quarter end. For inside sales on the same store basis. Our inside sales were down approximately 2% relative to last year. Inside sales excluding cigarettes, up approximately 2% year-over-year in the same store basis. On the margin front, our store margin was up approximately 40 basis points year-over-year mainly attributable to changes in product mix, and initiatives we have undertaken to preserve margin in a current inflationary environment. The period since the quarter overall same store sales have been up approximately 3% to 5% over the prior year. As we touched on last quarter on the supply chain front out of stocks are still at levels higher than we would like. We continue to see some progress on this front. However, there's still work to be done to return to what we would consider normal levels. We also continue to see broad based inflation in our product costs and while we've been successful in adjusting retail prices, it does weigh on consumer demand. As we have reviewed in our prior calls, it is important to remember the wholesale segment supplies fuel to our retail segment on a variable margin basis. So the overall profitability of our retail sites and our financial reporting split between our wholesale and retail segments. We realize that this can be confusing makes it difficult to evaluate the complete financial results of our retail segment. We are looking at modifying our segment financial reporting to provide a more comprehensive and easier to understand view of the retail segment. We will update you on this next quarter. For this quarter, our retail sites contributed strong financial performance, and their contribution to our overall profitability is even greater when one considers the wholesale fuel margin associated with these locations. On the acquisition front, we announced in the third quarter that we entered into an asset purchase agreement with community service stations pursuant to which we have agreed to purchase certain assets from them for a purchase price of $27.5 million plus working capital. The assets consist of wholesale fuel supply contracts to 39 dealer locations, 34 sub wholesaler accounts and two commission locations. The assets are in the New England market to concentration in the Boston metro area. The assets are highly complementary to our existing asset base in the region for both a geographic and fuel brand prospective. We are excited about this transaction as these are unique assets that have attractive long term cash flow profiles. As we stated in our press release, we expect the acquisition to be immediately accretive to our distributable cash flow. The transaction is expected to close during the fourth quarter. On a real estate rationalization front, we had a quiet quarter with only one property sold. In the period since the quarter end we have sold five properties for $6.2 million in proceeds. Our overall financial results for the quarter were exceedingly strong. For the past several quarters, the partnership has demonstrated an ability to produce solid financial results in challenging markets, such as earlier this year, and an ability to capitalize on favorable markets and produce outstanding results such as in this quarter. This remarkable performance is a result of the strategic decisions made and executed by the leadership team and created since the acquisition of the general partner at a Topper group. The partnership is well-positioned for the future, and we the leadership team are committed to producing long term value for our unit owners. With that, I'll turn it over to Maura or more detailed financial review.
Maura Topper: Thank you, Charles. If you would please turn to slide 6. I'd like to review our third quarter results for the partnership. We reported net income of $27.6 million for the third quarter of 2022 compared to net income of $8.9 million in the third quarter of 2021. The increase in net income was primarily driven by the year-over-year increases in operating income in both the wholesale and retail segments with each segment benefiting from the acquisition of assets from 711, along with a favorable fuel margin environment. Adjusted EBITDA was $62.2 million for the third quarter of 2022 which was an increase of 73% when compared to adjusted EBITDA of $35.9 million for third quarter of 2021. Our distributable cash flow for the third quarter of 2022 was $50.9 million versus $30.4 million for the third quarter of 2021. 67% increase in distributable cash flow is primarily due to the increase in operating income in both the wholesale and retail segments, partially offset by an increase in cash interest expense. These strong earnings figures resulted in the generation of $53 million of cash flow from earnings to the third quarter of 2022 compared to the generation of $27 million of cash flow from earnings in the third quarter of 2021. Additionally, we benefited from the declining fuel price environment during the third quarter of 2022, which contributed to additional cash flow generated from working capital of $19 million. For total operating cash flow generated during the quarter at $72 million, an increase of more than $36 million compared to the third quarter of 2021. Charles noted earlier the multiple factors impacting our top line and gross profit performance during the quarter. Turning to our expense profile. We saw a 36% increase in our operating expenses compared to the prior year and an 11% increase compared to the second quarter of 2022. The increase in operating expenses year-over-year was primarily driven by the addition of 711 sites, which drove a 30% increase in our average company operated site count from 194 locations to 253 locations. Also contributing to the increase year-over-year and quarter-over-quarter for higher real estate taxes, as well as higher maintenance and environmental expenses, portion of which we are able to recoup from our third party site operators  On a quarter-over-quarter basis the increase in operating expenses was driven by elevated store level labor costs, as well as maintenance and environmental costs. Over the course of the third quarter, we implemented certain incentive programs for our store personnel to help us drive increased employee retention, and customer service levels. Whenever possible, we have implemented incentive programs that are intended to be temporary and targeted to manage our overall store labor expenses. Compared to both the third quarter of 2021 and the second quarter of 2022, we were able to staff more labor hours at our retail locations this quarter. Assumption of improved staffing conditions, and some of the investments we have made in hiring and retention over the past 15 to 18 months. We have also experienced similar upward pressure on wages experienced by organizations across the economy. Our G&A expense declined $3.3 million or 33% for the quarter year-over-year primarily due to a decrease in acquisition related costs associated with the 711 sites that we acquired last year offset by higher equity compensation expense and headcount. Our G&A expenses were higher in the third quarter of 2022, compared to the second quarter of 2022 due to higher equity compensation, and legal expense. The partnership data distribution $52.5 per unit during the third quarter of 2022 attributable to the second quarter of 2022 for a total of almost $20 million. Our distribution coverage for the current quarter was 2.55 times compared to 1.53 times third quarter of 2021. Our distribution coverage on a paid basis for the trailing 12 months was 1.74 times compared to 1.22 times for the 12 months ended September 30, 2021. Moving to the next slide. We spent a total of $10.4 million of capital expenditures during the third quarter, with $8.4 million of that total being growth related capital expenditures. This is relatively flat for the third quarter of 2021 spend of $10.5 million. Growth related capital spending during the quarter includes continued investment in dispenser and carwash upgrades as well as the strategic acquisition of previously leased sites. As I noted last quarter as a result of the targeted investments we have made in the portfolio over the past two years, you should continue to see a quarterly growth capital expenditures moderate from that high levels incurred from mid 2020 through the end of 2021. As I stated earlier, this quarter strong operational results and released working capital resulted in generation of cash and the pay down of our capital credit facility by $33 million. Year-to-date, we have reduced our total debt and finance lease obligations by approximately $63 million. The combination strong operating results and deleveraging has resulted in a moderation of our leverage ratio over the course of the year, and this past quarter. As of September 30, 2022, if we were to calculate a leverage ratio for the organization overall, as defined in our credit agreements, taking into account our total debt levels, our blended aggregate leverage ratio would be about 4.14 times compared to 4.85 times at the end of the second quarter of 2022 and 5.11 times at the end of the fourth quarter of 2021. Look into the fourth quarter, we will utilize a portion of our credit facility availability to complete the acquisition of assets from community service stations that Charles noted earlier. We will continue to focus on our operational performance and associated cash flow generation to manage our leverage ratio at approximately four times above the credit facility defined and blended aggregate basis. In conclusion, we were quite pleased with our third quarter results that helped strengthen our balance sheet. This had placed us in a good financial position as we enter the last month of 2022 and look towards 2023. With that, we will open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions].
Charles Nifong: It doesn't look like we have any questions at the moment. Should you have questions later. As always feel free to reach out to us. We'll be happy to address them. Thank you everyone for joining us a day. Have a good day.
Operator: And thank you ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.